Analysts : Jon Arfstrom – RBC Capital Market Stephen Guyan - Stifel Nicolaus Brad Milsaps - Sandler O'Neill Peyton Green – Sterne, Agee John Rodis – Howe Barnes Julienne Cassarino - Prospector Partners
Operator: Welcome to Wintrust Financial Corporation's 2010 Third Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. (Operator Instructions) As a reminder, this conference is being recorded. Following the review of the results by Edward Wehmer, Chief Executive Officer and President; and Dave Dykstra, Senior Executive Vice President and Chief Operating Officer, there will be a formal question-and-answer session. The Company's forward-looking assumptions are detailed in the third quarter’s earnings press release and in the Company’s Form 10-K on file with the SEC. I will now turn the call over to Mr. Edward Wehmer.
Edward Wehmer: Good afternoon. As indicated, Dave Dykstra is here with me, also Dave Stoehr, Chief Financial Officer. As always we’ll go through a general – I’ll take you through a general overview of the quarter. Dave Dykstra will talk about some specifics and then he’ll turn it back to me for kind of a summary and maybe a little bit of a look forward and then we’ll have time for questions. In the third quarter, Wintrust had earnings of $20.1 million or $0.47 a share, up from the second quarter versus 88%, but down from last year. If you recall on the third quarter, last year when we closed our AIG transaction, where we purchased the life insurance portfolio and had a $113 million bargain purchase gain. So, we weren’t able to find another one of those this quarter, but I think we did okay. So anyhow, our core earnings were really flat quarter-to-quarter really as a result of margins going down a bit and that’s the first thing I’ll talk about when I go through the major components really in the numbers and the major trends in the numbers. Our margin, which I think, we did a pretty good job of highlighting the change on page 2 of the release, went from 3.43 to 3.22 this quarter. Liquidity was 14 basis point decrease in the margin, less life accretion and less prepays and the life insurance loan purchase was 10 basis points. The sale of certain CMO securities in the quarter was 9 basis points and these were offset by a decrease in our cost of funds of 11 basis points and that makes up the difference. We will be more specific on those, liquidity. Everybody has been reading about this in the industry it as an issue. We don’t think it’s wise to be taking our liquidity long right now. We’ve always taken a long-term view in every plan that we’ve done. And we just think that rates have to go up and inflation there is going to be an issue down the road, as the only way out of all this government debt is inflation, it doesn’t appear the rates are going to go down materially. So, we are keeping short on that side and then positioning ourselves for higher rates and not try to lock in our margin right now. As I said, we’ve always done this, it has taken a long-term view of things and we don’t really try to take short-term solutions to long-term problems and give up long-term opportunities. On the accretion on the life insurance portfolio, as we told you in previous quarters, this is always going to be somewhat lumpy. Pre-payments were slower last quarter, but in total, the portfolio was acting pretty much as we anticipated in terms of the average life and the like. So, you would have quarters where we will have more pre-payments and some will have less pre-payments but all in all, to-date the portfolio is acting as we anticipated and as we recorded it. We did certain CMOs during the quarter. These were acquired in the first quarter of 2009 and were kind of a dislocated asset purchase for us. We bought – seen a couple of hundred million dollars worth of CMOs and we REMICed them. So we had an A portfolio of initially a little over $200 million and we had $0.5 million in the Z portfolio. The A portfolio yielded us pretty much 9% during the course of its life and we had recorded a $7.7 million gain on the disposition of that. And during the course of the five plus or minus quarters, that this was outstanding, we recorded trading gains on that $0.5 million investment, that the original investment. And the Z tracks is about $31.7 million. So all in all, this has been a very good trade for us. It was a great dislocated asset, you might ask, but why did you want to get rid of it? We kind of took the approach that it had run its course and people had not been able to refinance the date. It was pretty uncertain to us whether they’re going to be able to refinance going forward. We thought that it would get kind of lumpy and we’re concerned about it. So we said, you don’t go out and take it again. It served its purpose and we moved forward and sold that out and it was a very good transaction for us all in all. On the cost of funds side, the cost was 9 basis points in the margin this quarter. On the cost of funds side, we picked up 11 basis points. We are continuing to re-price CDs. In the press release, we give you a schedule of CDs re-pricing and we still think that there is kind of 5, 30, 40 basis points in those. So, we expect to continue to bring our cost of funds down over the next few quarters. The outlook for the margin, page 20 in the release talks about the CDs maturity re-pricings and what we’ll get out of that and bringing those down to market rates. So we still think there is a lot of room there. We basically, during this quarter we had probably set a baseline, really for where the margin is and where it’s going to grow from. Again, the CD re-pricing will help us there. The re-deploying liquidity will be very helpful for us there too. We have very good pipelines in the commercial business and throughout our banking system right now in terms of loan generation. But, we’ve always considered below on the right hand side of the balance sheet is being really growing our core franchise. And we have all sorts of opportunities in that area, both through core growth and through acquisitions, possibilities going forward. We are not going to take a short-term solution here either. I mean, if there is a transaction where we pick up excess liquidity or we can grow more but grow the core of franchise and have some short-term excess liquidity, we will go ahead and do that. We really think that adds value to the organization, it might hurt us a little bit in the short term, but rates are going to turn and we will have a stronger franchise when that happens. On the loan side, we did grow $219 million of loans during the quarter, but again deposit growth was $337 million. So we didn’t make a dent in that $1.02 billion of overnight money. But that being said, it’s still our goal to do exactly, that is to re-deploy that liquidity into earning assets. But if we can continue to grow the right hand side in good core growth picking up households, picking up good core customers, we think that adds value to the company, the franchise value for the long-term, value of the company. So, it is our goal to make headway on redeploying liquidity and that’s where we are going, going forward. Moving on to, just to make sure I covered all of that, a quick word, I know a hot button these days is on mortgage put backs, the current industry it’s really the industry’s current hot button. Let me just set the stage for our position in the mortgage business during the go-go days. We only participated in the go-go days for three or four months in the sub prime kind of goofy-type mortgages. And as such we would expect the potential problems coming from that would be mitigated by the fact that we weren’t in the business that long. We did see a spike in the number of put backs earlier in this year, but the numbers really returned to kind of normal in the past few months. They are always going to be put backs in this business. During the beginning of the – when we saw them we have a very robust process in terms of setting out our reserve levels, both on specific and expected claims going forward based on business. And during the early part of the year when those peaked up, you can look at our numbers and see that we built, we spent a lot of money building up those reserves as a result of that. Today, we’ve globally settled with two providers. So we don’t – nothing will come back from them and we are dealing with the rest of the fellows on a flow basis. Our average settlements have ranged from $0.19 on the dollar to $0.30 on the dollar. To-date, that’s come back and we’ll stand up. If we have a problem, we‘ll stand up for it, but many of these put backs, when people are trying to backup the truck and catching up technicalities that really aren’t right. So our people do a very good job in negotiating that all the way through. So, we have a reserve setup right now that’s close to $8 million and we continue to add to that reserve based upon our flow and as additional – if we see a spike in the number of put backs, then we will add to the reserve for that. But, we think we have our arms around that. We are working the flow. We’re settling things on a weekly basis. So, the flow is running through and again the flow is going to come back to normal. So we feel pretty good about that. but who knows in this crazy market. On the credit quality side of things, charge-offs were $21 million and we booked provision around $26 million. Reserve stands at about 120 of loans outstanding. Excluding covered assets our non-performing loans stayed about constant and our OREO was down about $10 million. We continue and as we have to work, to identify assets and push them up as fast as we possibly can, we are of the firm belief that your first loss is your best loss and we will continue to do that and is one of our major objectives and we haven’t strayed from that. We keep hearing to those people who say our credit quality is too good when you compare to the rest of the Chicago market and people except that there is going to be another huge drop. I would ask just, consider the following. All banks in our market are not the same. We pulled back on the lending side in our rope-a-dope strategy probably in 2006, two years before this cycle really took hold. Our portfolio is much more diversified than our local market competitors. We have $3 billion, close to $3 billion in premium financed loans and have had a terrific performance so far. $1 billion in home equity has had very good performance, we have $2 billion in commercial. We have a diversification of our portfolio that other banks don’t have. And as such, we’ve been able to avoid a lot of the issues is because we don’t have the concentrations that they have. We’ve been through two regulatory cycles and any banker will tell you that the regulators are really diving deep right now and getting down to the bone marrow and doing their job and we have come through those. Historically, if you look back to our 18 years of business, we’ve always operated at statistics that were 30% to 50% of the peer group. I mean, even in the good times, we were 30% to 50% of the peer group, because of our conservative underwriting standards and because of our diversified portfolio. We believe that adds into the thinking and the rationalization that people should look at in terms of where we stand in terms of our credit quality. Our risk rating system is very robust. It’s validated by independent reviews, by regulator exams, by auditors, and the Boards and the management too, by having 15 banks and having Boards and Boards of Directors who look very closely at the credit quality on the individual banks, we were able to bring the materiality, no matter what we look at to a level that I would say other banks probably can’t do. So we had a lot of eyes looking at the portfolio validating it, challenging it, looking at our rating systems. So, I think that, actually should give, some people some comfort that there is not one big shoe waiting to fall, but all that being said, we are not out of the woods yet. This cycle is still going on. There is still a lot of stress in the market as I referred to last quarter, it’s now really the good people, people who really have tried to work with you and we are just running out of gas. We have $14 million in new flows and non-performings this quarter. We were able to stay ahead of those and push them out, but I tell you half of these came from loans of the current, but they weren’t current, because of interest reserves. They weren’t current because of the borrowers were able to keep them current, but they show up, we are working closely run out of gas and you got to deal with the issues. So, to try to bring any sort of predictor, it gets kind of harder these days, because a lot of these things are just coming out and people are just throwing up their hands. So we expect this to go forward. We expect to stay ahead of it. We expect flows to stay higher than we would like to something, which I’m and we just have to stay ahead of the game. A word on TDRs, it’s my favorite subject to rail about. Some analysts I’ve seen out in the market are replacing these are non-performing and I just don’t understand it. They are performing, if they’re not performing they go into non-performing. If they are performing, they’re not non-performing assets. So really, I think it’s misleading to do that. If they’re bad, we’ll move into bad assets ASAP. Maybe they are precursor to that non-performing loans maybe they are not. These rules are so nebulous and convoluted and they’re getting in more nebulous and convoluted. You see how they are changing these things. I’m going to borrow a line I heard today, I mean, I think this is, this makes about as much sense as a soup sandwich. The rules – now they’re lucky to say if - could this borrower have gone some place else? How do you know? And so as a result I think that our TDRs were at $60 million or up to $90 million. That number is going to continue to grow as we continue to work with borrowers and push credits through them and try to keep ours inline. But, if you want to give a good borrower a good rate that they probably couldn’t get at some place out, it’s a good borrower and it’s performing that becomes a TDR. It’s not all AB notes where you are charged off parts and you haven’t. I mean there is a good credit in there. If any of you had to go to Catholic school and had the nuns, TDRs are kind of like limbo to me. Limbo it’s not good, it’s not bad, it’s something it’s in the middle and they don’t know what to do with it. So, I think the only way to look at this sort of thing, but the fact of the matter is, that as you work through this cycle more and more – we will have more and more TDRs and I would suggest that you’ve not looked at is; is look at those as only sort of precursor for what’s going on in the credit portfolio itself. A couple more issues just to go over on a general basis; standards from our FDIC deals done to-date, the assimilations have really gone better than we expected. Our purchase assets division who is in charge of collecting on the covered loans, that are making very progress, that are ahead of the schedule in terms of what we projected for both the time to resolve and the resolution amounts. We have converted systems for two of those banks; the third will take place in the first quarter of next year. In the Lincoln Park situation, we are starting to market this quarter. The 60,000 households within three miles of our branches from that organization. So, we intend to start marketing and marketing that hard. In Naperville, you may have seen that we acquired a branch. It’s a good size, almost 5000 square foot branch that will be the headquarters for our Naperville operation. We have converted Naperville and we will commence marketing in the fourth quarter there. But Naperville is a great market for us. We are looking to doing further expansion in Naperville. After we will start marketing in the tried and true ways that we always have, and as all of you who have known us for a long time, you know that our goal is to move to one or two market share booked and households and deposits, and relatively short order and that has not changed. One other point I’ll make is really on the capital side of things. We believe our capital ratios and it still remain very strong. They are above the levels that are required and quite frankly no one has ever, in our 18 year existence has come around and said that you need more capital, you need more capital.
Dave Dykstra: Thanks, Ed. As I normally do, I will take a quick spin through the other non-interest income and non-interest expense categories. Ed spent a fair amount of time on the margin and the provision for loan losses. As part of the other non-interest income categories go our wealth management revenue totaled $9 million in the third quarter of 2010, compared to the $7.5 million recorded in the third quarter of last year. This represents the 20% increase in wealth management revenue. As compared to the prior quarter, the second quarter of 2010, wealth management revenues stayed virtually flat with the slight gain in the brokerage level and slight reduction in the fees from managed assets due primarily to market value fluctuations. But overtime, we’re seen nice trends in that business and continue to grow our customer base. Mortgage banking revenue was up substantially in the third quarter 2010 and nearly $21 million, compared to $8 million in the second quarter of this year and $13.2 million in the third quarter of 2009. We give a fair amount of detail on page 25 of our earnings press release, as far as volumes of loans originated, mortgage servicing rights, and the details of the components of our mortgage banking revenue. So, again I direct your attention to that for additional details. If you look at how you will see that the percentage of our mortgage banking gains relative to the volume of the loans that we sell onto the secondary market has been increasing recently, as we’ve realized better pricing as a result of the company using some mandatory forward commitments versus all sales being best efforts and we do have a little bit higher mix of our business being retailed than wholesale. We did state in there, the pipelines are strong and the rate environment is such that we expect to have another strong quarter and the fourth quarter for mortgage banking revenue and looking on much further than that it certainly really depends on some of the government actions as far as interest rates and just general market rate conditions. But right now, that business is strong for us and we expect it to be strong into the fourth quarter. If we move onto the gains on sale of the securities, the gains in this quarter are primarily represented by the gain that I refer to of selling our CMO products that we had bought in the first quarter of 2009 and we do provide some additional detail on that transaction on page 10 of the earnings release. We did sell the entire portfolio of those CMO products that we’ve bought in the first quarter of ’09 and we no longer have any of that investment left on our balance sheet. The bargain purchase gain of approximately $6.6 million relates entirely to the FDIC Assisted Transaction for Ravenswood Bank that we completed in the third quarter. We do continue to evaluate FDIC Assisted Transactions and we’ll continue to bid on those offered banks when they make strategic sense and we will do so in a disciplined manner. There are really no other items of significance in the other non-interest income that I am going to address on this call. As to the non-interest expenses, salaries and employee benefits increased to $57 million in the third quarter of 2010, that’s up of from $50.6 million in the prior quarter of this year. And approximately $4.4 million of the quarter-over-quarter increase relates to bonuses and variable rate commissions. As I discussed in my prior remarks, we did see significant increases in our mortgage banking revenues and some increases in the wealth management brokerage revenues and those are commission-based variable pay business compliance and as the revenue grows up we see the corresponding increase in our salaries and employee benefit lines. We also saw some increases in the other salary categories related to increases as we’ve added the staff from the recent FDIC assisted transactions and as we continue to hire commercial lenders and other staff to support our continued growth. Non-interest expenses also include about $4.8 million of OREO related expense. This is a decrease of $5.5 million when you compare to the $10.2 million recorded in the third quarter of 2009 and a decrease of $1.1 million as you compare to the second quarter of this year. Now these costs include, all the cost related to obtaining and maintaining and selling OREO properties. So, that number can fluctuate a little bit, but we have seen a decline here a little bit and we are active in marking our OREO portfolios to market and we think we have a good bead on were those valuations are. There are carrying cost and then occasionally we do sell some of those that are slightly below the market value we had and occasionally we sell them a slightly above the market value. So, that number can fluctuate a little bit, but has declined compared to the prior quarter, the linked quarter and the sequential quarter. Now, other than that, if you go through the line items of other non-interest, you can’t see any significant changes that I think are worthy to note here. There are some increases, slight increases in some of the categories, but generally that relates to the growth and we’ve got the three FDIC assisted deals that we’ve added this year and we have added staff to support the growth and that comes with other miscellaneous operating expenses also, but generally the other costs were inline. So, with that I’ll turn it back over to Ed and he can finish up and then we will take some questions.
Edward Wehmer:
,: On the acquisition side, hits at all aspects of our business from wealth management to specialty finance to assisted and unassisted bank deals and the mortgage side of the business. They are lined up like plains over O'Hare and we are awfully busy around here right now. That’s not to say anything is going to happen or not happen, but it’s just very interesting time and that’s what we anticipated. And you’ve got this side, part of the cycle the dislocation of banks and other companies are looking for homes is it’s kind of interesting, it’s happening a little bit faster that you may anticipate, because always we’ll be very, very disciplined and strategic and how we go after these and look at them. That got to make sense for the shareholders and make sense for us and give us an ability to give us platforms and markets. We are not into continue to grow the organization. We continue, as I mentioned earlier, we do take a long-term view on what we do. Some of these potential transactions they may add liquidity to our market and they might cost us a little bit, but long-term, you are going to have franchise value that will far exceed any short-term costs that we may experience as a result of excess liquidity. This is really is what, this environment is what we excepted when we went into rope-a-dope in 2006. We expected the dislocation of people, dislocation of assets and the dislocation of banks. We’re seeing, we continue, we don’t see the assets side as much as we used to, that shutdown much earlier than we had ever anticipated, but on the people’s side and the bank’s side, it’s still very interesting times for us. We are well positioned to take advantage of these. I think, we’ve been able to earn money; we’ve been profitable throughout this cycle. We have adequate capital to execute these, if they do come along. And just like in our presentation, you may have seen it, we feel like Forrest Gump after the hurricane. We are the only shrimp boats left in town. So we are excited about where we are. We’ll continue to focus on increasing core earnings and getting bad credit up here as fast as possible. And like I said, we are excited about where we are right now. We are excited about our future, even there is clouds, we are not out of this thing yet. There maybe some lumpy mess along the way. I think we are very well positioned to go forward and continue to grow this franchise and return to shareholders. So, with that, I’ll turn it over for questions.
Operator: (Operator Instructions) And our first question comes from Jon Arfstrom with RBC Capital Markets.
Jon Arfstrom – RBC Capital Markets: Good afternoon guys.
Edward Wehmer: Hello Jon.
Jon Arfstrom – RBC Capital Market: Ed, I was going to ask you about TDRs, but I decided not to.
Edward Wehmer: Well, go ahead.
Jon Arfstrom – RBC Capital Market: Couple of questions on C&I growth. We’ve talked about this on previous calls. And I just wanted to go back to this again. Are you seeing the growth in just the downtown office? Or is it starting to broaden out into your other franchises?
Edward Wehmer: Predominantly downtown office, but it is starting to grow out. We are embarking on – really it’s an exciting new approach that how we’re going about this and that throughout the system and the philosophy of the downtown guys, remember they came from probably the preeminent middle market commercial bank, ever in the City of Chicago, some people might argue with that, but I think that the most would agree that that’s the case. And their methodologies and styles is something that they’ve been able to get their crew together downtown right now. Get the ball rolling, but most of the calls to-date have just been inbound people wanting to come and follow their lenders or go after their backend and being able to support them in a culture that’s more conducive to their business. But starting in December and going forward, this philosophy, we’ve already actually kicked it off, but we haven’t kicked off the active calling part of it. This philosophy is being push down to all of the banks and we have gone through every middle market customer of prospects. We divided them up and there is a real rigorous, coordinated calling process that is going to be relentless. You don’t get them in the first time. We are going to be in front of everybody who we wanted to be in front of them. What I really liked about this process Jon is that, we’re selecting the guys we want to go after. We’re not going out and making cold calls to people who will – we’re going to get in and then go, we don’t want them. This is a very selective process that we’re going through and we intend to dominate that. And that’s all kicking off in this quarter. So, we are excited about that. The growth to-date has been good as far as we are concerned. They are ahead of where we had planned them to be. But we think going forward with this philosophy and with this coordinated approach, it’s been tried and proven and season tried and proven by these fellows. We are going to really make some hay, so.
Jon Arfstrom – RBC Capital Market: What would the guys, let’s say Lake Forest or Hinsdale or Libertyville one of the other bank say, if we asked them the loan demand question, would they say its firming up?
Edward Wehmer: Depends on the bank. I think you probably get three different answers from guys. Depending on where their markets are, but the new loan growth throughout the system, pipelines throughout the system are very strong. Our turned out rates is probably in the 50% to 60% range. We are not going sacrifice credit quality right now, in any way shape or form. We are still being sticking with our conservative credit underwriting standards. We do have a higher turndown rate than that you would imagine. Downtown they probably, just to give you the downtown issue, they probably turn down 1.5 times or maybe 2 times of business that they have actually booked. But I think across the board they would tell you that they are all very busy with new prospects, some more than others. But no the pipelines are good across the board.
Jon Arfstrom – RBC Capital Market: And then a quick question for you Dave, on the maturing CDs, you’ve got, it looks like you have about a billion or two in the next quarter, given all your liquidities, is there any temptation to let some of that run-offs or is that something that you would like to hang on to?
Dave Dykstra: Well, as Ed, talked, I mean it’s good core retail customers that are going to bring over multiple accounts with them and they are where you can cross-sell them on home equity and residential real estate. Now, hopefully some people on the retail side where, they have also got family business and we don’t want to turn down that good core franchise building deposits. But to the extend that someone has been with us for awhile and they just keep shopping us for rate and don’t open up any other account or something like that then we are clearly trying to let those people walk out the door and if they are just going to shop us for rate. So, we continue to lower our rates with the market and there is just no place for them to go and we provide good service and so we continue to see good deposit growth there. But if we can build the franchise, we really do look at this, there is earnings value and there is franchise value and franchise value ultimately turns into more earnings value, that if we can do that in a short run, that we think it’s worth it, now if they persist for 3, 4, 5 quarters, you might have to rethink your price in a little bit to slow it down. But, right now, we do believe, because of the pipelines that I had talked about that we can redeploy that liquidity into loans and we don’t want to take a short-term quarterly view and turn away a good franchise there at the same time.
Jon Arfstrom – RBC Capital Market: Okay, alright.
Dave Dykstra: Probably that answered your question.
Jon Arfstrom – RBC Capital Market: Yes, that does. Thanks a lot.
Operator: Our next question comes from the line of Stephen Guyan with Stifel Nicolaus
Stephen Guyan - Stifel Nicolaus: Hey guys, just curious you talked a bit about the liquid assets, certainly some will go through something loan growth maybe some acquisitions. If we’re seeing to save them liquid assets what might be a good average reinvestment research refer to?
Dave Dykstra: Well, I get on and the short down is sort of 30 to 45 basis points, that might just start to extend out and we are not too interested in extending out a lot of Ginnie Mae’s or Fannie Mae’s, one because you again will have to buy those things at a premium and they are per-paying so fast. And if you don’t get much bump, to up to two or three or four or five years even, and works against as part of your interest rate positioning goes if you believe rates are going to go up and we are trying to position ourselves for rates going up. So, I mean, if we continue to invest, you get maybe 30 to 50 to 60 basis points, but not much more than that.
Stephen Guyan - Stifel Nicolaus: Okay, and Ed, you talked about the $40 million of FDIC allowance this quarter, well decent over the last quarter. Would you anticipate a change in the type of the mix of those loans that will be the non-accrual-going forward?
Edward Wehmer: I think, it’s going to be like this for a little while and I think the mix will probably relatively the same. It’s until you see real estate had firmed up a little bit, I think it’s not, it’s still tough out there. And even with the conservative lending standards we employed, there is people who just running out of gas. And, I would expect that we want to land this like we’re landing a plane, other then hopefully those numbers will come down. We’d always trigger and we always trigger we got into this thing and hunkered down two years earlier, we’d be out of this thing two years faster than everybody else and kind of get the best of both world’s very strong core earnings falling to the bottom line and still the ability to pick up the bargain purchase gains and other dislocation gains, that can come along with it. But it’s still tough out there. And our challenge is to continue to identify and push these things out as fast as you can under the theory that your first loss is your best loss and let’s move on. So, I would envision that the inflows are still going to be higher than we would like, but I think very controllable and hopefully our outflows can stay ahead of them and we can keep bringing those numbers down. But who knows? It’s a goofy market out there.
Stephen Guyan -- Stifel Nicolaus: Okay and last question. Loans held for sale, up a bit over last quarter, certainly the mortgage banking, certainly helped that. But just curious if you have any interest in selling mortgage loan sales and putting then on the balance sheet a bit longer, to pick up some margins will pick up a little bit of extra net interest income?
Edward Wehmer: Yes and then basically those loans held for sale as the increase is the mortgage business. We never really had a strong interest in holding 30 or fixed rate paper on our books. This is just isn’t a term that has been very appealing to us. To the extent that you get some people that want to do some shorter-term deals or some arm deals, yeah we are holding those on our balance sheet. But, we haven’t done the 30 years right now.
Stephen Guyan - Stifel Nicolaus: Okay. Thank you.
Operator: Our next question comes from the line of Brad Milsaps with Sandler O'Neill.
Brad Milsaps - Sandler O'Neill: Hey, good afternoon.
Edward Wehmer: Hello Brad.
Brad Milsaps - Sandler O'Neill: Nice quarter guys. Just wanted to ask, maybe Ed, on the insurance premium finance business, you guys continue to see good growth, particularly in the Life segment. Just wonder if you kind of what your appetite was, sort of size relative to the total portfolio and either the Commercial or the Life category and just kind of what your view is there for growth going forward?
Edward Wehmer: Good question. Actually, the dollar value of the life insurance loan has gone up as we continue to make those loans. Those are five years usually, average term loans. That business is going very well for us. The P&C side, believe it or not, our units processed again through maybe Brad, the second or third year in a row, are up in the teens. We were actually, we are picking up market share there. The problem is the average ticket of market is so soft, the average ticket size has come down. Usually, we have a $30,000 average ticket size, normally 28 to 30, and it’s down on $20,000 right now, because the insurance market is so soft. But, we continue to pick up market share there. So, both businesses are really, not doing pretty good, are improved pretty well. The as to the concentrations in that business, we always said we have a third of our portfolio is dedicated to our niche businesses. We are actively looking for other legs to that stool. Obviously, the two premium finance businesses, a billion and half in one, a billion and half in the other, make up the majority of that. We do have other smaller niches that we are in. We actually have reentered the indirect auto business. As you may recall, we’re in that business, ran a $300 million to $400 million portfolio, ran it profitably. We had delinquencies rise around 1% and we figured fully loaded and returned about one and a quarter to the bottom line, fully loaded. We pulled out of that in 2006 and we’re getting back in that business. If you look at, if Tom Brown is on the phone, we’ve looked at his chart and showed what the impending demand is going to be for new cars, because of the obsolescence of the current fleet plus new people coming in. We said, maybe it’s a time to get back in to that business when everybody else is out of it. So, we are consistently looking for new legs to that stool. But I think that you can expect the two premium finance businesses to grow proportionately with the overall organization to a little bit less than that. We do monitor your exposure to insurance companies internally on that business also, and so we try to get very granular towards the looking of the exposures, but probably we’ll grow, but a little bit less than the overall growth right now. And it will not make us stop in that business. So if you recall in the old days, we would take excess production and we’re above our concentration limits and sell that off into a poor man’s securitization through the old LaSalle Bank and they will then sell them on to their correspondents. If we got to a level where we’re all comfortable with that concentration, but the business was going very well, we’d look to conduits or other type of instruments or markets to sell some of that business, but we would not, by any means stop production.
Brad Milsaps - Sandler O'Neill: Okay and the second and final question. You listed a number of likely M&A opportunities that you guys are potentially looking at out there. If you sort have to rank in order of preference being into an asset purchase, C&I FDIC assisted deal regular way M&A or something else, what do you think is most likely would be kind of what would you guys will prefer at this point?
Edward Wehmer: Well what we would prefer, we’re very opportunistic and there are basically in each of those categories there is triaging that goes on in terms of prioritizing, which if any targets are in those categories, which are the most important to us. So, it’s hard to break it down, whether I’d rather do obviously doing an assisted deal at the right price in a market we want to get into, is very beneficial to us, because you’ve been in the market without a lot of risk and hopefully you get enough fund gain on it. But there are some franchises out there that when you burn them down, they may just survive and they are good markets, but they are kind of, they are walking that tight rope and to us, that’s a very interesting opportunity to go in and be able to partner up with a good franchise. We are pretty sure as value there, you pay them for that value if there is a discrepancy in terms of marks and we are not adverse to a hold backs. We’ve done those previously in our existence and we’re not adverse to that. So those you’ve structured properly, it can be on the same level as an FDIC’s assisted deal, you don’t have all the subsequent reporting on it, so that’s offset to the unassisted deal, but you got to be careful. You got to know what you’re doing, you’re got to be thorough. You really don’t want to cancer transplants. So there is maybe a little bit more risk in there, so the reward would have to be substantial. On the wealth management and especially finance side of the businesses, we are just very opportunistic. We know, in wealth management we know, we want to continue to build out our asset management capabilities and our products in that business. But you' got to have and when we look at any sort of deal, that we have control over that FDIC. Now culture was everything and especially in that business you have to have the right culture. So, we would, we are very excited about doing those two. And then especially assets side it’s just very opportunistic. One of the beauties of having 23 operating companies, you have 15 banks and you have the wealth management operation and you have the specialty finance operations, under one guy, if you were to go out, none of these are mutually exclusive. We could do one of each of them and what’s interesting about it is, we have done three FDIC deals to-date and we’ve done it out of two banks. One bank bought two of them and one bank bought one of them. We still have 12 other banks that have not been affected by this at all. So, in terms of the capacity to pick these things up and the ability to absorb them, the only place we put stress out is our technology group and we’ve beefed that up substantially to accommodate the sort of thing. So, we have the capacity to do more than one of these, they are not mutually exclusive and we will continue to be very opportunistic and these have to be strategic deals and if we run into one or two or three, we got to decide that whether or not we can do it. I’ll tell you there was one FDIC assisted deal that we looked at and we priced it very conservatively, because we just had some question about whether we would be able to do this one right and so we priced in some more gain. We were very conscious on how we do it, how it affects, our capacity to take it and make it working and the along. So, I would tell you I can’t rank them, but they are all of interest to us.
Brad Milsaps - Sandler O'Neill: Okay, great. Thank you guys.
Operator: Our next question comes from the line of Stephen Scinicariello with Macquarie.
Stephen Scinicariello – Macquarie Capital: Hi guys.
Edward Wehmer: Steve, how is life on the dark side now?
Stephen Scinicariello - Macquarie Capital: It’s good, it’s good, thanks for asking. Just a quick question for you on the accretion on the life insurance premium finance portfolio, I know it got to 10 BPS this quarter due to the slower prepayments. And I was just wondering to give us a sense of what are the key drivers of the things that slowdown the prepayments? Just I can model this better going forward. Thanks.
Edward Wehmer: Well, I am not, the reason that you have, there is a number reason you have prepayment, sometimes, people are highly mature as they stay in the industry or die and certainly we can’t forecast that. Some people may have another installment coming due and on their premium and they just may reassess the deal and decide what I got some excess liquidity and I am not sure that I need this loan anymore and they just pay it off. Some people that stay plans changed, they re-evaluate them, they decide they don’t need this component anymore and they pay them off. So, I’m not so certain as we can predict it with any certainty, but, we did do a fair amount of due diligence when we bought the portfolio going back a number of years and generally the pre-payment rates were, anywhere from 16%, 17% of the portfolio up to the low 20s. So generally, it was sort of 5 to 7 years and it really didn’t go outside of that range. And we sort of looked at and found five years is about the right range for these pre-payments and it’s been tacking pretty good in the aggregate that way. But as Ed mentioned earlier, I think you’re just going to have a quarter where it’s up a little and you are going to have a quarter where it’s down a little. But we have no reason to believe that it’s going to slowdown materially or pick up speed materially in future quarters. We still believe, based upon, just the history of the business overtime that sort of a five year average life on these is appropriate and I just think it’s going to be a little up and down on a quarter-by-quarter basis. We track that five years, we had a market, we kind of look at all the pre-payments to-date this was a catch up quarter I think, with some respects. A lot of people die in first quarter.
Stephen Scinicariello - Macquarie Capital: Alright, thanks very much. It’s very helpful. Thanks guys.
Operator: Our next question comes from Peyton Green with Sterne, Agee.
Peyton Green – Sterne, Agee: Hello, good afternoon. I was wondering if you could tell me how much of the personal expense increase plus related to the mortgages business on a linked quarter basis?
Edward Wehmer: Peyt, I don’t have that number right in front me and I know, Peyt the rule of thumb is 50% or 52% of the mortgage revenue, about 50%.
Peyton Green – Sterne, Agee: Okay.
Edward Wehmer: Will give you a good handle for the – in the salaries side of equation.
Peyton Green - Sterne, Agee: Okay, alright.
Edward Wehmer: And then clearly with, I think the majority of what we had out there, but I don’t have the number in front of me right now.
Peyton Green – Sterne, Agee: Okay, great. And then in terms of, I guess what has to happen stepping back a little bit longer-term? What has to happen in the Chicago MSA for profitability to be meaningfully restored? I guess are we looking, if your numbers you’re doing somewhere between $119 and $165 pre tax pre-credit ROA. And that’s still that’s what the best ROA in the world in terms of generating a strong ROA and I was just wondering maybe if you could talk about how you see the next two to four years playing out and what that?
Edward Wehmer: Sure, yes. Well, I don’t know where, but we’re about $200 million pre-everything at pre-tax pre-provision. We think in this, we’ll talk about this for a second and then we can talk about the market in general. But we think that we’re able to continue to execute our plan, notwithstanding big influence of liquidity, because of deals that will help us in the long-term. Our margin is $355; $360 is where we would tap-out in this rate environment. It’s just, we’re playing in the red zone right now and, you don't have a lot of field to work with when rates are zero and which is why we’re building liquidity, trying to stay short, and this relates to general populous too. If rates were to go up 200 basis points over a two year period or even better, 400 basis points with a parallel shift in the yield curve, you are talking about margins are getting back in the 450 to 460 range. One of the things that this downturn has allowed us to do, if you’ve been around long enough, Peyton that you remember when we were growing at 20% to 30% a year, our larger bags would return really good profits and then we dilute them by putting new bags in, but our growth was so good that we had a premium amount of stock price we were creating a lot of value. One of the things that we’ve been able to do during this period of time is kind of catch everybody up. So, we don’t have a lot of the, younger banks are going to be dragging us down. We’ve been able to kind of grow them and bring them up during the cycle, maybe shrink some of the bigger ones and get their potential profitability built up. So, I think that we can, the rate environment hurts you, especially when you are funded like we are. We don’t play the yield curve and do borrower short and lend long sort of thing. We run a conventional sort of approach on our asset liability management and we are positioning ourselves as indicated by how we’re dealing with liquidity right now. Positioning ourselves for a higher rate environment, that would be a severe, not severe, it’s a wrong word, but…
Dave Dykstra: Beneficial.
Edward Wehmer: Beneficial, that would be most beneficial thing that could happen for overall profitability in the markets. The other, credits got to get back to some degree of normalcy. So, we always thought getting in a couple of years early, we would get out a couple of years early and the core profitability would fall to the bottom line faster, and we would be able to take advantage of that flowing to the bottom line faster, plus being in a position to do more deals get more barge, we get the best of all worlds with great core profitability and great extra profitability coming in and not having to offset the credit side of the equation. So, from our perspective, getting credit, bound into a normal, whatever normal is, but a more normal range for us would be a, probably a $40 million provision every year and at this level, given normal credit statistics we experience since our existence. And getting the boosted rates, but credit in the rate environment. Other than that, we think we’re cranking along pretty good other than that, it’s just tough rate. We think we will be out of credit. We have less, we’re on it faster we think and we think we will be out of credit sooner than everybody else. So, talk to me in a year.
Peyton Green – Sterne, Agee: Okay, alright. And then, with regard to the TDRs, I mean, this is something where you see a fair amount of difference in opinion or treatment on this. And I guess just wondered if you can give some anecdotal commentary on how yours are different and how does one vary versus the performing loan or non-performing loan?
Edward Wehmer: Sure. Well clearly in the industry first, I mean it was up until a couple of quarters ago – yes banks they didn’t have any TDRs. They all thought it was, how could that be, we were ahead of this game and really on top of it from day one. For all accountants here so don’t hold that against this. But we were on top of that from day one and you can look back and see we’re always recording these things but, TDRs now, encompasses broad breadth of potential restructuring or just renewals of loans. It goes from what used to be a TDR would be like an EBITDA. Back in the good old days if you did an A B type loan, where you said okay, I’m going to write this off and put it back on accrual because it’s restructured that’s what makes sense and written some off, it truly was a problem credit that was restructured. But now we’re going to a point where Dave Dykstra walks in, he has been a customer from five years and he has got to renew his loan. His loan was at prime and it’s a real estate loan and it’s gone from 60% to – 60% loan to value of up to 90% loan to value. If Dave Dykstra walked in and you didn’t know him today would you give him the rate on that loan? The answer is no, it’s a TDR. Dave has been a good customer and never missed a payment, got a good balance sheet behind him, but that’s a TDR. It’s kind of nimble. It’s just, it’s throwing this stuff in there and that’s why it’s always trying to make the differentiation payment. But if it’s bad, we’re going to call at bad right away, even if it’s a TDR, if it’s bad we throw it right into non-accrual, it’s bad is bad get to be moving over, if it’s good, we’re going to deal with. I mean, it’s not a problem. So I can’t tell how the other people are doing and other than the fact that many of them just really started recognizing these issues. But if it’s up, when you at us concentrate on what the problem was on that trend. That’s about the only thing you can look at the real non-performers, because the TDRs – and Dave Stoehr you are our TDR expert, did I missed anything there or ?
Dave Dykstra: You are perfect Ed.
Edward Wehmer: I wasn’t perfect, I never been perfect. So, I hope that answers your question.
Peyton Green - Sterne, Agee: Okay, and I guess, so at the time, if something like that happens do you make a curtailment to reduce the LTV low level? Or do you give a rate concession or is it just really a functional loan to value and…?
Edward Wehmer: It’s like, in and out. I’ll tell you, it’s getting worse because we now have to make an evaluation as to whether he could go some place else and move that ball.
Peyton Green - Sterne, Agee: Okay.
Edward Wehmer: I don’t know, how are you going to do that.
Dave Dykstra: Dave Dykstra, they’re talking about that doesn’t come out through the pass through proposals is that if your borrow work, you got to determine whether your borrower went some place out to get the loan and if they couldn’t get the loan and then it would be a TDR. And I’m not sure that will make to the final version, but I did most of ours are rate concessions and if the guy is under water and it doesn’t look like he’s got light, we’re not going to make a TDR just try to string him out we’re going to face the issue and move it on. We’ve hard conversations with the guys when they come up for renewals that they’ve got a lot of them have to come up with cash to get the loan to value inline, but a lot these are simply the guys are performing and their cash flowing where it’s at, but jack the rate up to 8%, 9% you just create a problem and if you renew him at the same rate or maybe just the rate a little above where they were, they can still make it. They can still service that and you’ve got a good customer that’s gone out and we renew it and maybe you renew it at a slightly better. But it’s less than what the market would be. And that’s the case and at the TDR. Guys get the same referral, you’ve got the same cash flow, you’ve got the same servicing capacity, you’ve just given them a little bit break on the rate and that’s a TDR.
Peyton Green - Sterne, Agee: Okay, but I mean, to think about this, would you give them a break on the rate versus what someone else might do in 90% LTV loans. But it’s not a break on your rate versus what he was paying you?
Edward Wehmer: Right, you don’t have to be. It could be the same rate as he had coming in and…
Dave Dykstra: Higher rates than he had coming in, but if it’s less than what the market would be for that guy in a comparable position, it’s a TDR.
Peyton Green - Sterne, Agee: Okay, alright. Good enough. And then the last question I have was just on the land loans, you all have about $263 million of those and I guess about $27 million NPL with an allocated reserve of about $11 million. How much has that been charged down over the course of time? Is it 263? What percent is that occurring? I mean what percent that you over?
Edward Wehmer: You mean of the $27 million or it’s whatever, that’s not, you got to look at the non-performing side, that’s the only side that’s been charged down.
Peyton Green - Sterne, Agee: Okay, so I mean, there is no reserve to the 263 with albeit to the 27?
Edward Wehmer: Well, it’s built into the general reserve there is out there, when you build up the reserve, you do specific reserves and I knew, you do the general reserve. The general allocation and the factor for the general allocation is obviously a lot higher for land loans, but if it’s current and one of the things Peyton, that’s going on is, there is a lot of rebound real estate out there. And I talked about this in previous calls, where we maybe lending money to the guy who is buying the land from some other bank that, cents on the dollar and lend out the money of 50% of that, to real qualified people. So, not all that is vintage heyday, some of it is vintage now, where these are the guys who are going to make a lot of money. So, if you really have to think about that also. But, the write-downs have occurred and you can, thinking get into our Q1 and you can figure out what the write-downs have been on the land portfolio.
Peyton Green - Sterne, Agee: Okay. Alright, and then I apologize, this is the last question. But any idea on what you expect to see as your CRE loans mature over the next year? Did you think there is more maturity default risk over the next year or do you think it was worse in 2010?
Edward Wehmer: Well, I think that, I guess generally I think the bad guys are out thinking of the good guys are in and just their ability to, it’s a very diversified portfolio in the CRE side, owner occupied buildings, factories, multi-families, rebound real estate or guys are buying some of the stuff out. So, I think it depends really, it’s hard to predict where it comes from, if we think it’s going to be a problem, if we look at something now and we review the stuff constantly and we look at and now I think it would be a problem next year, we might solve the problem right now. And make it non-accrual and deal with it. So we are already dealing with. We are diving deep into the current portfolio to deal with the issues too. Like I said, before probably 50% of the non-performers though that flow that came on would came right out of current. So, I don’t think the term up the market in general, I don’t think the market is getting any better. I think it’s stabilized to some extent. I don’t think it’s getting any better. I think that appraisals now, because appraisers have 2020 hindsight and they, they keep driving, their whole appraisal issue drives the market down in of itself. It drives it up in good times and drives it down in bad times. They look backwards and they say, wow this is all for X. So this must be worth X and then when they start falling off, they now it’s all for half of X and now everything is now worth half of X. So it’s kind of a crazy thing to part of that industry. But as I said earlier, I just, I think that the flow is going to be higher than we would like. I think it will be relatively constant. But I don’t know. I mean we just got to stay on top of it, what I do say with maybe some certainty is if there is a bigger spike in this sort of thing, in the rest of the industry there will be a much bigger spike than us, so I think we are ahead of the game.
Peyton Green - Sterne, Agee: Okay, great. I appreciate the color and thank you.
Operator: Our next question comes from John Rodis with Howe Barnes.
John Rodis – Howe Barnes: Good afternoon guys.
Edward Wehmer: Hi John.
John Rodis – Howe Barnes: Hey Ed, I guess, just on top of Peyton’s question. As far as your commercial real estate portfolio of $3.3 billion, what percent comes due in the next say, 12 months or so?
Edward Wehmer: We haven’t really disclosed that, John. We’ll look at it, if we can slide that into our Q, we’ll do that. But, I hate to say it on a call here, we haven’t disclosed and I don’t have the exact number in front of us.
John Rodis – Howe Barnes: Okay. And Ed, you talked a little bit about, earlier about your turndown rate. You said it was maybe 50%, 60% today. How does that sort of compare to where you’re at in the past?
Edward Wehmer: Higher; well, I think it’s, generally it’s a little higher. Just because there is more people and there’s less banks. There’s more people, who are struggling through. So we are getting more at bats than we used to get. Does that make sense to you? I mean, this is, we’ve gotten a higher profile now, so we’ve got more people on the commercial side coming to look at us than they ever did and we’re being very, very selective.
John Rodis – Howe Barnes: No, that makes sense. And then hey Dave, just one follow-up on the salary expense. I think, I just wanted to confirm, you said $4.4 million of the increase to linked quarter was bonus and commission, is that correct?
David Stoehr: Yes.
John Rodis - Howe Barnes: And now, was that primarily related to the mortgage business?
David Stoehr: Yes, mortgage and wealth management.
Edward Wehmer: Now a little bit, because this is heavier to the mortgage side. Obviously mortgage revenues were up dramatically and that roughly 50% goes up in compensation related costs.
John Rodis – Howe Barnes: Okay. And then I guess the other piece would have probably been primarily related to the FDIC acquisition?
Edward Wehmer: And general staff increase. The Ravenswood came on during the quarter. Wheatland and Lincoln Park had already been on, they came on in the middle of the second quarter. So, it wasn’t fully loaded in the second quarter. So, you had a fully loaded third quarter for those two deals. And then you had a partial quarter for Ravenswood. So, that’s the big chunk of it and then, we are growing the franchise and we continue to expand and grow. And so we do add a little bit of infrastructure to support that growth.
John Rodis – Howe Barnes : Okay, thanks guys.
Operator: Our final question comes from Julienne Cassarino with Prospector Partners.
Julienne Cassarino - Prospector Partners: Hi, what was the Tier-1 common risk-based capital ratio?
Edward Wehmer: Tier-1 common risk-based capital ratio is, let me look here a quick, 12.7%.
Julienne Cassarino - Prospector Partners: Tier-1 common?
Edward Wehmer:
Julienne Cassarino - Prospector Partners: That’s alright. And the TARP, actually what’s the amount of preferred stock that non-TARP?
Edward Wehmer: We have $50 million of convertible preferred stock if that is non-TARP.
Julienne Cassarino - Prospector Partners: And how much does that, how much of that, what does that costs per quarter in terms of net income that’s not available to common?
Edward Wehmer: So it’s a $1 million dividend per quarter.
Julienne Cassarino - Prospector Partners: $1 million per quarter, okay, non-TARP and what do you think the odds are of being able to repay TARP without a capital raise?
Edward Wehmer: Well, if you look at our capital ratios, we have fairly strong capital ratios, but we’ve grown the institution dramatically since we took TARP and so, we were over $14 billion now and I have to go back and look the exact number, but we are closer to $10 billion when we took TARP. So we’ve grown that organization quite a bit. So we’ve used the TARP to grow the franchise, grow the balance sheet, increase our loans, and to a certain extent we put some of that TARP to work. So, if you were to pay TARP off, you would have to replace that with some capital in order to support the growth that you already have in place.
Dave Dykstra: For earnings, earnings can come in. I mean, if you look at the, we have plenty of debt capacity at the holding company and we’ve already raised during the year, 200 and some odd million dollars of capital, in addition of that to support it. So, there is lot’s of alternatives as they relate to that. We’ve always talked about TARP, as when it started affecting the business or when it’s shareholder-friendly we will deal with that issue at that point of time. And so, we’ll deal with that issue at that point in time, but there are a lots of different alternatives out there that could allow us to repay it.
Julienne Cassarino - Prospector Partners: Okay, your, are you kind of maxed out on trust-preferred capital? Think you wouldn’t issue more trust-preferred.
Edward Wehmer: I mean, that’s an option, I mean as the trust-preferred we have, just as a matter of point we are less than $15 billion when new rules went in place. So that still counts for us. Our understanding is that market is still open and would just count as Tier-2 capital. So, as we talk to investment bankers out there, they say that that market is available if you wanted to value yourself of it. But you’d have to understand that it’s Tier-2 and then you’d have to understand of the new basal 3 rules are going to apply going forward and then take all that into consideration. But we would have some capacity there.
David Dykstra: We know, we were very careful with our shareholder money. We’ve increased book value throughout this period of time. We have not tried to have our shareholders shoulder the burden of through too dilution of, like many other banks have had to do to get through this period, we’ve been able to increase shareholder value and should understand that and anything that relates to our financings going forward, we will be with the shareholder in mind. But we do have, there is lots of different alternatives here and we’ve already did raised a couple $100 million of capital this year. So, we’ll play it by ear and when it makes sense we’ll do with it.
Julienne Cassarino - Prospector Partners: And how much is unearned income, if you will, like how much is left to accrete into earnings overtime with the balance?
Edward Wehmer: Of what, balance of what?
Julienne Cassarino - Prospector Partners: Isn't there are some unearned accretions still out there on the life insurance portfolio, you referenced the five-year timeframe then it comes in lumpy. How much of it is left?
Edward Wehmer: We’ve had a table in our press release on that you can look on the page. But we roll it for you every quarter. So, we’ve got about $44.9 million of accretable discounts that are still out there and we also have $26.4 million of what our non-accretable credit discounts at the credit environment improves, can turn into accretable yield discount going forward, that’s on page seven of the earnings release. I think you have to remember though, that accretable discount is really related to just a purchase accounting yield adjustment just as if you bought any other portfolio. So, what that accretion does is bring those loans back up to what the market value was at the time that we bought the portfolio and that’s really no different than the yields that we’re getting on new loans. So, as that accretions realize, I’m not saying that this is the rate, but just let’s say your yield plus 5% and maybe we bought them at a yield less than that, that accretion would bring them up to 5%. When those loans pay off early, I’m going to lose an all-in 5% yielding asset, but I’m making new loans at 5%. So, as long as I stay in the business and I replace those loans with new business at the existing market rates that the old loans are on with the accretion and there is really no degradation in our earnings flow going forward. So, it’s just that’s really a purchase accounting adjustment to bring them to the appropriate yield.
Julienne Cassarino - Prospector Partners: Okay. Those two columns are separate, right they are not one is not included in the other?
Edward Wehmer: Right.
Julienne Cassarino - Prospector Partners: Okay. And you mentioned $8 million of reserves set up for a potential or a possible put back. How does that $8 million in reserves relate to how much was sold in, say the '05 to '07 timeframe? Like what is the $8 million? How do I relate it? What number to relate it to?
Edward Wehmer: Yes, well, we have not disclosed those numbers, but I think I know what you’re trying to get and I am sorry and I talked earlier, I said that we really didn’t play in that market for that longer period of time. The more they got into it, we kind of look to it, we don’t to be in this. So I think that – the specific vintages and the specific product types we have not disclosed.
David Stoehr: Right. And what we do believe we were very well reserved on that, but for us to start giving a ton of detail would sort of play against us negotiating with the end investors. They have to know how much we have reserve for how many loan, then I really don’t want to negotiate against myself in a public document.
Julienne Cassarino - Prospector Partners: Okay. Were any of those sold in to private label securities?
Edward Wehmer: No, we don’t know where they ended up. So, we found good investors and what they do with them I can’t tell you.
Julienne Cassarino - Prospector Partners: Well, were they sold to private label aggregators?
Edward Wehmer: Well, if you consider Citi Corp, or Bank of America to be private label, we don’t know what they did with them once they got them. So…
David Dykstra: There is a number of – I think we sold to a lot of large investors and I’m sure some of them who might have done that. And I can’t speak to what the investors we sold to did with those loans ultimately.
Julienne Cassarino - Prospector Partners: Great, okay. Thank you.
Edward Wehmer: Alright everybody. Thank you very much for listening in and call us if you have any other questions.
Operator: Ladies and gentlemen, thank you for your participation in today’s conference. This concludes the program. You may all disconnect. Everyone have a great day. Copyright policy: All transcripts on this site are the copyright of Seeking Alpha. However, we view them as an important resource for bloggers and journalists, and are excited to contribute to the democratization of financial information on the Internet. (Until now investors have had to pay thousands of dollars in subscription fees for transcripts.) So our reproduction policy is as follows: You may quote up to 400 words of any transcript on the condition that you attribute the transcript to Seeking Alpha and either link to the original transcript or to www.SeekingAlpha.com. All other use is prohibited. THE INFORMATION CONTAINED HERE IS A TEXTUAL REPRESENTATION OF THE APPLICABLE COMPANY'S CONFERENCE CALL, CONFERENCE PRESENTATION OR OTHER AUDIO PRESENTATION, AND WHILE EFFORTS ARE MADE TO PROVIDE AN ACCURATE TRANSCRIPTION, THERE MAY BE MATERIAL ERRORS, OMISSIONS, OR INACCURACIES IN THE REPORTING OF THE SUBSTANCE OF THE AUDIO PRESENTATIONS. IN NO WAY DOES SEEKING ALPHA ASSUME ANY RESPONSIBILITY FOR ANY INVESTMENT OR OTHER DECISIONS MADE BASED UPON THE INFORMATION PROVIDED ON THIS WEB SITE OR IN ANY TRANSCRIPT. USERS ARE ADVISED TO REVIEW THE APPLICABLE COMPANY'S AUDIO PRESENTATION ITSELF AND THE APPLICABLE COMPANY'S SEC FILINGS BEFORE MAKING ANY INVESTMENT OR OTHER DECISIONS. If you have any additional questions about our online transcripts, please contact us at: transcripts@seekingalpha.com. Thank you!